Operator: Ladies and gentlemen, thank you for standing by and welcome to Keyera Corp. 2020 [Technical Difficulty] Conference Call Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today Mr. Cuthbertson. Please go ahead, sir
Dan Cuthbertson: Thank you and good morning. Welcome to Keyera's 2020 fourth quarter and year-end conference call. Joining me today will be Dean Setoguchi, who's promotion to Chief Executive Officer took effect on January 1, 2021; Eileen Marikar, Senior Vice President and Chief Financial Officer; Jamie Urquhart, Senior Vice President and Chief Commercial Officer; and Brad Lock, Senior Vice President and Chief Operating Officer. We'll begin with some prepared remarks from the management team after which we'll open the call to questions. I'll remind listeners that some of the comments and answers that we will provide speak to future events. These forward-looking statements are given as of today's date and reflect events or outcomes that management currently expects. In addition, we will also refer to some non-GAAP financial measures. For additional information on non-GAAP measures and forward-looking statements, refer to our public filing available on SEDAR and on our website. I'll also point out that there's a revised Investor Presentation available on our website. Please note that any detailed modeling questions can be handled by the investor relations team after the call. With that, I'll turn it over to Dean to kick us off.
Dean Setoguchi: Thank you, Dan and good morning, everyone. I want to start by acknowledging and thanking Keyera's Former CEO, David Smith, who retired on December 31 from his 22 years of service. Jamie, Eileen, Brad and I want to thank David and our Board of Directors for the robust executive succession planning, which has set us up for future success. The COVID-19 pandemic brought several challenges to our industry and our company. Our priority continues to be the health and safety of our people and communities. I'm proud of our employees. Many who have remained physically at our field locations since the onset of the pandemic. Their dedication and commitment keep our assets running safely and reliably providing essential services for our customers. Early in the pandemic, Keyera took a series of decisive actions to preserve shareholder value. These included deferring capital spending, discontinuing the drip, maintaining ample liquidity and implementing cost reduction programs. In addition, our risk management program protected our product inventories and margins from extreme place swings in what was a volatile year for commodity prices. Keyera's performance throughout 2020 demonstrates the resilience of our company. Despite the year's challenges, EBITDA was down only 7% compared to the prior year, which was a record. Distributable cash flow for the year came in at $718 million, a new record. As a result, we have entered 2021 with a solid financial position and no need to allocate capital to debt repayment. Shifting to our team priorities, Keyera has a long history of delivering returns for our shareholders. We've done this by being disciplined and how we allocate our capital. Keyera's value proposition will continue to be the delivery of a sustainable dividend underpinned by low debt leverage and an asset base and strategy that allows for steady growth in distributable cash flow. To deliver superior shareholder returns, we'll continue to be focused on the following: safety and reliability, continued financial discipline, driving efficiency through technology and innovation, continued strong ESG performance, and playing an important role in the transition to a low carbon economy. I'll briefly touch on each. In terms of safety and reliability, we had outages at both our Wapiti gas plant and our AEF facility this past year. The combined impact of these outages on adjusted EBITDA was approximately $45 million. Excluding these two outages, our assets rather than an average reliability rate of 98%. We can and will do better putting more focus around our processes or prevention of unplanned downtime. Moving onto capital discipline. Our conservative approach has served us well through several commodity price cycles. This will continue to be the hallmark of our company, while keeping a clear focus on generating returns for shareholders. This means living within our financial framework and priorities. Eileen will speak more to this in a few minutes. Looking now technology and innovation. Our goal is to be the most efficient operator, providing a high net back for our customers. Innovation will play a major role in helping us to get there. Turning to ESG and Keyera's role in energy transition. We have long believed that embracing ESG principles reduces our risk and creates value for shareholders over the long-term. At Keyera, our Board of Directors oversees our ESG priority areas and we've taken the step to link management compensation to ESG performance. Last year, we released our inaugural ESG report, which is aligned to SASB standards, and we have committed to setting emissions reductions targets and aligning to phase one TCFD reporting in 2021. The world's energy mix is undergoing a transition towards a lower carbon future, and Keyera is well-positioned to evolve with this change. We continue to look at opportunities that would leverage our existing core competencies and asset base. We see great potential in helping our customers de-carbonized with initiatives like supplying and transporting solvents to reduce carbon emissions from the oil sands. To sum up, we've demonstrated our resilience in 2020 across all aspects of our business, and we're excited to keep the momentum going into 2021. The commodity markets and the outlook for our customers are improving. And we're well-positioned to capture the upside of a recovery in global energy demand. As we look ahead we intend to keep our focus on all aspects of ESG performance and transparency, and we'll continue to investigate ways that we can play an active and meaningful role in energy transition. I'll now turn over to Jamie to provide an update on our operations and major projects.
Jamie Urquhart: Thanks, Dean. We announced in this morning's news release that we are revising the expected gross cost of the KAPS project to $1.6 billion, up from the original estimate of $1.3 billion. This means Keyera's 50% share of the investment would be $800 million with the project scheduled for completion in 2023. The returns for the project are largely underpinned by contracts for more than 70% of the initial pipeline capacity, with 75% take-or-pay commitments for an average term of 14 years. This project further integrates our existing value chain by linking our gas plants located in the highly economic Montney fairway to our condensate and NGL infrastructure in Fort Saskatchewan. In addition to generating predictable long-term cash flows, the project unlocks numerous future growth opportunities within our upstream and downstream businesses. We are excited about this project because of the superior geology in the capture area and how it significantly hands our -- enhances our competitive position provides our customers a much needed alternative for condensate and NGL transportation. We have several catalysts in the near-term that are contributing to EBITDA growth. The Gulf Coast Galena Park facility, which is designed to provide fee-for-service inline butane blending into gasoline is now complete with full connectivity expected this month. The Wildhorse Terminal in Cushing, Oklahoma was mechanically complete in January. Commissioning activities have begun and the project is expected to be fully operational in mid 2021. In the Gathering and Processing segment, the Pipestone gas plant was placed into service five months ahead of schedule, with initial throughput surpassing our expectations. We are successfully completing the first phase of our optimization plan with the safe and orderly shutdown of three gas plants in Central Alberta. The optimization program continues with the planned shutdown of three additional Central Alberta gas plants over the next couple of years. This program will increase overall utilization rates, drive down per unit operating costs, reduce overall emissions and provide competitive net backs to our customers. Going forward, our priority and focus in our Gathering and Processing business will be to grow earnings by striving to be the most efficient service provider. In this Marketing segment, we continue to access the highest value markets for our customers, while maintaining a disciplined risk management strategy. We are excited about the potential opportunities the Federal's clean fuel standard may present for our iso-octane business. This is one of many opportunities that we continue to investigate to increase shareholder value. I'll now turn it over to Eileen who will run us through our financial priorities and results.
Eileen Marikar: Thanks, Jamie. I want to eco what Dean said earlier about our focus on capital discipline and maximizing total shareholder returns. I'll start off with a refresh of our financial priorities. Our number one financial priority remains preserving the strength of the balance sheet. This means, targeting a long-term net debt to EBITDA ratio of between two and a half and three times for covenant test purposes. We believe that this conservative range will also ensure we maintain our investment grade credit ratings. We ended the year with a leverage ratio of 2.9 times. Next is to maintain the current monthly dividend with a focus on growing distributable cash flow on a per share basis, allowing for further growth in the dividend over time. We target a payout ratio of 50% to 70%, and we ended the year with a payout ratio of 59%. And third, maintain our capital disciplined capital allocation, which includes evaluating investments based on returns, strategic merit, ESG considerations, and other risk factors. We're particularly focused on continuing to stabilize our cash flow and increasing the level of long-term take-or-pay contracts with strong counterparties. With that said, for 2020, we delivered a return on invested capital of 11.4% within our targeted range of 10% to 15%. This was an exceptional outcome, given the unprecedented events of this past year. I'll now run through select highlights from our 2020 results. Adjusted EBITDA for the year was $874 million. While distributable cash flow was a record $718 million, representing an annual increase of 21%. Net earnings were $62 million for the full year, a decrease from 2019. This was largely because of a $371 million impairment expense, stemming mostly from the shutdown of gas plants as part of our asset optimization program. The Gathering and Processing segment delivered margin of $260 million in 2020, a decrease of 12% compared to the prior year, because of lower overall volumes, fee reductions at certain plants in the south region and unplanned outages at the Wapiti gas plant. We delivered yet another record year in our Liquids Infrastructure business with realized margins hitting $399 million, representing more than 40% of overall company realized margin. This strong performance can be attributed to the high level of take-or-pay contracting and high quality customers. And our Marketing segment delivered a realized margin of $295 million for the full year, $5 million below the bottom end of the previously provided guidance of $300 million. This was the result of recognizing $12 million in realized hedging losses for which the inventory remained unsold at year-end. Higher margins will be realized in Q1, 2021 when the product is sold. Turning now to guidance for 2021. We still expect growth capital to be between $400 million and $450 million, with the majority of this amount anticipated to be directed to construction of the KAPS pipeline system. The increase in the cost estimate for the KAPS project does not affect capital guidance for 2021. Keyera's portion of the KAPS project will be funded through a combination of internally generated cash flow and incremental debt. 2021 maintenance capital is expected to be between $25 million and $35 million, and we are guiding cash tax expense to be between $20 million and $30 million. For the Marketing segment, we expect to achieve the base realized margin of between $180 million and $220 million. However, further guidance will be provided with our first quarter results. With that, I'll hand it over to Dean for some closing comments.
Dean Setoguchi: Thanks, Eileen. Over the past year, Keyera demonstrated our resilience. This is a testament to our culture and the dedicated efforts of the people at all levels of our organization who come to work every day, committed to safety and giving their best. Looking ahead, Keyera will continue to be a safe, reliable, and sustainable operator and continue to focus on generating value for our shareholders. We're excited about the future, and we're confident we have the culture, people and assets to succeed for decades to come. On behalf of Keyera's Board of Directors and our Management Team, I thank our employees, customers, shareholders, and other stakeholders for their continued support. With that, I'll turn it back to the operator for Q&A.
Operator: [Operator Instructions] Your first question comes from [Technical Difficulty]
Unidentified Analyst: Good morning, everyone.
Dean Setoguchi: Good morning, Rob.
Unidentified Analyst: First question on KAPS. A little bit of an echo. Okay. [Technical Difficulty]
Dean Setoguchi: Hi, Rob. It's Dean. Thanks for the question. And overall, we still believe the project is needed for the basin. I mean, again, there's need for competition. If you look at the overall fundamentals of what's happening in the basin, is that -- I think we're -- we get mired sometimes in what just happened in the pandemic. But if you look at the bigger macro, certainly, we're seeing much better fundamentals as you can see in the forward markets and the spot markets for both natural gas, crude oil. And we also think that propane is going to be pretty robust in the years to come.  So, when we look at our customers and what their plans are, yes, in the near-term, they are repairing their balance sheets. But as we look forward, certainly, they do plan to expand their programs. And I think part of debottlenecks that we've historically had in our basin all relates to egress. So, when you look ahead at the expansions on NGTL, Coastal GasLink being built and in service towards the middle of this decade, which has only -- another four years out. And then you start thinking about also the expansions on -- for crude oil and TMPL and Line 3 and other small debottlenecks, that really frees up a lot of the reserves that can hit the markets, both for crude oil and natural gas. So, again, just the way we look at the project, the contracts that we have in place already -- when we look at the basin and what's happening, we think that this is a tremendous project. But at the end of the day, we won't be incurring significant expense until the middle of the year. So, we expect to have a formal sanctioning before that time.
Operator: The next question line of Patrick Kenny with National Bank Financial.
Patrick Kenny: Good morning.
Dean Setoguchi: Good morning.
Patrick Kenny: Yeah. It looks like the eco is still there. Dean, just wondering if you could just still the $300 million increases. I know that there was an updated [Technical Difficulty] coming because of the deferral of the project, but $300 million for -- just a one-year pushback during what is obviously a fairly slow time for the industry, in general. So, I know you referenced pipeline construction competition, but the big ones like CGL and TMX, I mean, those, we would have known, uh, for a while. So, again, just wondering if you could walk us through how you get to the $300 million increase.
Dean Setoguchi: Hi, Pat. Yes. So, I'm just going to repeat the question, just because it sounds like there's an echo in your end. We can hear it on our end, but the question was, just to provide more details on the $300 million increase associated with the KAPS project. So, I'll turn that over to Brad Lock.
Bradley Lock: Sure. So, I think, as we went through the reforecasting of the KAPS of the costs with the one-year delay. Certainly a component of the cost increase was related to that delay, but certainly the biggest component of that was the activity that's existing on pipeline construction projects. You talked about TMX and Coastal GasLink. Those are big pieces and they draw on the same resources that -- while they are different contractors, many of them draw on the same resources that we would be using for our projects. So, as we've advanced our contracting strategy, these costs have come to fruition. The nice thing is we are in the process of securing all of our contractors for the construction activity and making sure that ready to hit the numbers that we landed on right here. So, we have strong competence in those numbers to execute through to 2023.
Patrick Kenny: Okay. That's helpful. Thanks Brad. And then just I guess, with respect to the overall health of the customer base. And Dean, you pointed out commodity prices moving in the right direction. But the carbon tax is also moving up as well over the coming year. So, could you just provide a bit more clarity as to what $170 carbon tax per ton could mean for gas processing economics? And if you have flow-through provisions, how meaningful could this be on your customer net backs?  And then I know it's still early days, but as you look towards energy transition, what are some of the projects you might have in the hopper to help reduce emissions at some of your larger plants?
Dean Setoguchi: Great question, Pat. And your question was largely related to what is a $170 carbon tax mean to our G&P business? And what does that mean for maybe our overall industry and our customers? Great question. And I guess, really what it emphasizes to us is that, it's going to drive a lot of efficiency in our base. And so it really emphasizes the steps that we're already taking to drive that efficiency. It makes it even more valuable. So, what we're doing with our optimization program, again, to direct the gas in our self portfolio to our most efficient facilities and driving higher throughputs, right? Because it's intensity based sort of calculation. And so, we're -- I feel like we're already on the path to achieving that already, and that's what's going to have to happen across our whole industry. The fact that we have interconnected facilities by pipe gives us an advantage to do that. If you have one-off facilities and you have low utilization, I think that's really going to hurt a lot of those players. So, again, it's going to be a lot about efficiency, high utilization. And those remaining facilities we have now, we have the scale to now investments there to continue to reduce our carbon footprint. And maybe Brad, if you want to elaborate any further on that.
Bradley Lock: Yeah. I think, we -- I mean, we see lots of opportunities within our Gathering and Processing efficiency efforts right now, with consolidation and certainly from a project execution side to reduce our carbon intensity. So, as we advance our strategy and lead towards a target through 2021, a lot of those will become identified and become part of our long-term plan.
Patrick Kenny: Okay. Great. And last one -- sorry -- last one for me, if I could just -- maybe for Eileen. It looks like the overall decommissioning liability is up $50 million year-over-year to $300 million. And plus you've got the incremental $150 million now to spend on KAPS. Just curious, if you've had any recent conversations with S&P just to reaffirm the stable credit rating.
Eileen Marikar: Yeah. Good question, Pat. We continue to have conversations with S&P. We actually did -- the treasury team met with them last week. And yeah, so far, they're very positive on our story. And we certainly feel confident with that relationship and the rating at this time.
Patrick Kenny: Okay. Great. Thanks for that.
Operator: The next question line of Ben Pham with BMO.
Ben Pham: Okay. Thanks. Good morning, everybody. Not sure if you answered this earlier, they have echo in some of the question. I wanted it to tie up some loose ends on the KAPS that you reaffirming to the 10% to 15% return, despite the CapEx increases. Is there provisions in the contracts you can recover the CapEx over on from shippers? Are there some other positive delta you've seen since you've been asked to project?
Jamie Urquhart: Yeah. Pham, it’s Jamie Urquhart. No. They're -- our intent is not to pass-through the increased cap -- the capital costs to our shippers. Really the confidence that we have with respect to hitting that return on capital ranges based on our existing contracts and also our forecast with respect to being able to contract additional volumes based on conversations that we've had with producers over the last three to six months.
Ben Pham: Okay. A lot of good commentary on energy transition, and yet the history report you put on you now some of the solar procurements as well. On top of what you've said there and the OpEx reductions on the gas processing, racing emissions. Is there any -- anything else you can share at this moment, having you do plan to move along with energy transition, reducing carbon emissions broadly?
Dean Setoguchi: Yeah. Well, without getting into too much specifics, obviously, as Brad alluded to, we see some meaningful projects at our gathering and processing facilities. We've touched before on hydrogen. We're looking at hydrogen in a very meaningful way with respect to the piece of land that we happen -- to have up in Fort Saskatchewan and a pipeline that we have, that's in hydrogen -- that is rated for hydrogen service. It's in a different service right now that connects Fort Saskatchewan to the Strathcona area and Edmonton. We have opportunities that we're looking at AEF with respect to the clean fuel standards that I touched on in our remarks. Those are the big rocks that we're looking at right now.
Bradley Lock: Sorry, Ben. We should also point out too, that we already do carbon capture and sequestration already with our acid gas injection, which we have at four facilities. So, that's something that we do already, and I think carbon capture and sequestration obviously will be also a bigger solution, the future.
Ben Pham: Okay. And my last one, you had some new-ish disclosures on take-or-pay exposures that 40%. I wanted to clarify you just taking the your face value EBITDA for 2020 about normalizing for the base marketing.
Eileen Marikar: Hi, Ben. So, the take-or-pay is based on our overall realized margin, including the actual results for marketing in 2020.
Ben Pham: Okay. So, if you normalize for a marketing, then your take-or-pay is probably more north of 50%, then?
Eileen Marikar: That's correct.
Ben Pham: Okay. All right. Thank you very much.
Operator: Your next question line of Matthew Taylor with Tudor Pickering Holt & Company.
Matthew Taylor: Hey, thanks for taking my questions here. Sounds probably for Eileen. On funding, you've talked about your targeted leverage range, but previously you've also talked about the potential succeed here during KAPS. Can you just refresh your thinking on that? Has your funding plan changed at all in light of this CapEx increase? And then a follow on to that question, would you be willing to bring on another partner to reduce the financial risks?
Eileen Marikar: Thanks, Matt. Yeah. Good question. So, as we noted, the growth capital for 2021 remained unchanged. So, it's still that $400 million to $450 million, even with the increase to the overall cost for KAPS. So, yeah, as we said before, we're okay to go over our conservative target range of two and a half to three times for a period of time, while we build out KAPS, as long as there is a path down to the target range. So there are tools that are available to us, like hybrids of preferred shares, but hybrids in particular that have recently been issued at very attractive rates. So, that is something that we may consider as well in the future.
Matthew Taylor: And then on the partner question, is that something that you'd be willing to do, or are you comfortable still being at 50/50?
Eileen Marikar: At this point, we're comfortable with 50/50. But again, partners and our overall portfolio, it's something that we evaluate all the time. So, there's nothing more to say at this point.
Matthew Taylor: Okay. Great. And then one more on capital allocation. So with your dividend yield at 7% today, and like already mentioned, leverage is in good shape, might start tracking up here over the build cycle. How are you thinking about restarting dividend growth versus retaining cash to help fund KAPS, as you go through this build cycle? Any thoughts on dividend would be helpful.
Eileen Marikar: As we said, we're committed to the dividend and given the low payout ratio, maintaining that current dividend is very sustainable. Our focus is really on growing distributable cash flow on a per share basis. So, in order to look at increasing the potential dividend, we would need to see some sustained recovery for the industry as well before making that commitment.
Matthew Taylor: Great. Thanks. That's it for me.
Operator: Next question from the line of Robert Catellier with CIB Capital Markets.
Robert Catellier: Rob Catellier, CIBC Capital Markets. I just have a couple of quick follow-ups on KAPS. The first one being, I just want to clarify that in fact the change in the cost has made is entirely due to higher costs as opposed to any change in scope. Can you just clarify that first?
Dean Setoguchi: Yeah. Robert, that is confirmed. The scope still remains exactly the same as we've been describing all the way along.
Robert Catellier: Okay. And then what has to happen then to reach the formal sanctioning decision before sort of relative to prior or final investment decision and the one year delay?
Dean Setoguchi: I mean, for us, we just look at all factors, all the capital discipline that we've described. We'll go into presenting it back to our board and -- before the summertime and to get a final sanctioning decision. But we are all teed up for this project, so it is ready to go. But it is subject to a final sanctioning decision prior to the summer.
Bradley Lock: Right. So, this is entirely Keyera just being prudent with the capital as opposed to any customer commitments, having run off or anything like that.
Dean Setoguchi: That's correct.
Robert Catellier: Yeah. Okay. I just want to square some of your comments, your optimism on the volumes that might eventually flow to KAPS and grow over time and square that with everything we're hearing from the producer's vote, their intentions to keep production flat. Obviously, the pricing environment and net back environment is better. So, is it just a question of -- maybe some discipline by the producers in the short-term to square up the balance sheet and then longer term a little bit more optimism? So maybe in that context you can call them what a reasonable range of a throughput changes for 2021 in that context?
Dean Setoguchi: Right. I just caught the last part -- I missed the last part of your question. Could you just repeat that please, Rob?
Robert Catellier: Sure. It just -- the last part was, what would a reasonable range of throughput change in 2021 in light of your view of producer activity?
Dean Setoguchi: Are you just talking about KAPS? You're talking about just our G&P or …?
Robert Catellier: G&P.
Dean Setoguchi: Well, I mean, we are -- we always say we're cautiously optimistic. And after going through a year like 2020, obviously it was a year where we had virtually no drilling. And you saw what happened. And then obviously we had some volume declines that are in our base facilities. What we're seeing now is, I would say, stable to slightly growing. And remember -- remembering the price rebound has only been sort of in play for the last -- the last two or three months. So, producers are obviously going to be prioritizing -- just repairing their balance sheets and making sure that that's a strong first. But when you look at the economics from the environment we just came in last year to where they are in mid to high $50s WTI price, which translates to a high condensate price, upper $2 for AECO and pretty robust forward strips on both commodities, even though they're backwardated today. The fundamentals of what's happening -- just the world where everybody I think is being more cautious about drilling. So, I think that's going to keep -- this likely to keep supply a bit more in check, especially on the U.S. side of the border. The Biden administration and some of the regulations that he's imposing, I think it levels the playing field a lot more for where our Canadian hydrocarbons. And again, I said this before, but you think about the long reserve life, which is measured in the hundreds -- hundred plus years for both natural gas and crude oil. The issue in Canada has never been our resource base. And I'd argue that it's globally competitive in terms of the marginal cost to produce it as well. I see companies like CNQ that can -- they can maintain their dividends and all their maintenance cap at $31 to $32 WTI. I'd like to see another company on the planet that can do that. So, I think it just speaks to what we can accomplish in this space. And then yes, we have to collectively work together to make it more efficient and decarbonized so that we have the best product, which also means a lowest carbon intensity product. And I think we're going to work collaboratively as an industry to make that happen. When you look at our sort of capture area, especially for G&P, and a lot of the focus is on their south area where again, we've been hurt in terms of our overall performance. The fundamentals there specifically are much better, again with the outlook for natural gas, propane in particular. And the other thing is, is that we've done a lot -- made a lot of efforts to make our processing fees a lot more competitive. So, when you add all that together, again, our fees relative to commodity prices today, the economics of that area are very, very good. And I would focus on the likes -- I mean, there's a number of private companies in that area, but look at Strachan [ph] and what they're doing. And so generally, the feedback that we get from our producers is that the results that they're getting from their wells now are better than expectations in both cost and performance. So I think that's promising. Even since December, our -- some of our producers are expanding their programs. And I'm not suggesting it's in a gigantic way, but they're adding well here, a couple of wells there. So, I would say once you get into the next winter, especially if -- this sort of price range sustains, I think you will see more activity. And again, it just -- it's a factor of all the producers having a better balance sheets and more free cash flow.
Robert Catellier: Yeah. It's a repulsive answer. Thank you very much for that. Last question I just had was on, how the ability for AEF to benefit from the clean fuel standards? And what that might look like? Are we talking about just more local sales or are there blending -- or capital opportunities available in that vision as well?
Jamie Urquhart: Rob, it’s Jamie. Not to be flipping, but all of the above, it's early days with respect understanding that the clean fuel standard and really the impact that it will have on our business. But we are -- based on our initial view, discussions with some consultants that we're confident -- have been involved and are very up to speed on that program. We are going to be involved in reaching out to government here during the review period to understand that more. But yeah, there are opportunities at that facility to increase efficiency. We certainly see as a clean burning fuel additive that -- there's more -- potential for more blending opportunities. And you hit the nail on the head is if we can find sales that are not down in the Gulf Coast, which has traditionally been one of our bigger markets, we can save significant costs on transportation costs. We spend over $55 million a year transporting iso-octane down to the Gulf. And the -- if we can find a fraction of that to be located -- to supplement existing relationships or new relationships within Canada, that's a significant value contributor to this organization. We also believe that potentially we can also firm up contracts and extend the duration of contracts that will also create value for our shareholders.
Robert Catellier: Okay. Excellent. We'll just have to wait see what it sounds promising. Thank you.
Operator: Next question from Robert Kwan with RBC Capital Markets.
Robert Kwan: Great. Good morning. If I can come back to KAPS and if you're not slowing a higher capital costs through your shippers, I guess, just arithmetically, it must mean that you've got a greater outlook for EBIT trying to maintain the range. So, I'm just wondering if you've got additional specifics on how you get there. Are you planning on charging new contracts, a higher tool, more on interruptible, or do you expect just higher volumes and then you originally expect on the line kind of in that 2025 timeframe?
Dean Setoguchi: Robert, as we said before, I mean, our plan is not to -- we want to make sure the tools are competitive. So, we aren't planning to increase our tools for this increase. But overall, I mean -- again, we talk to our customers and -- again, I -- I think people get mired on what is happening today. It is 2021. This pipe would come into service in 2023. And we're talking about a time horizon that extends decades beyond that. And so, again, I guess, it boils down to a point of view and again, we're basing it also with the discussions that we have with our customers that they don't plan to keep their production flat for forever. Some of them have commitments on to deliver through -- the owners of Canada LNG, all the NGTL expansions, if you look at the expansions that are being added for crude oil. So, I think that would be a very pessimistic view to think that all that pipe capacity that's getting added is going to be all empty. The other thing I'd point out is that, the capacity -- if you look at the combined forecast for NGLs in our province, and if you think of the capacity of peace and you think about the capacity of our pipeline, the KAPS pipeline, our pipeline is going to represent about 25% of the total capacity. So, when we think about the future, do customers want to diversify their service offering both for commercial reasons, but also for operational reasons? And can we capture 25% of that market?  So, we have to obviously take a longer range view and -- on all these things and take all the macro data. We have to take the feedback we get from shippers and customers, and we have to put all that together. And that's what we're doing to make our final decision.
Robert Kwan: Got it. But I guess I understood -- and correct me if I'm wrong, that the 10% to 15% was a rang you put out of the gate at the time, I think it was 2024, but convincing years, 2024, 2025 is about the same. So what has changed between that pre-pandemic guidance and today to offset the $300 million cost increase?
Dean Setoguchi: Yeah. I mean, we did extend from 2024 to 2025 with our one year deferral last year. So that's a difference between the -- sort of sitting our target rate of return. We have all of our shippers that are still committed to the contracts that were deferred from a year ago, so we have that. Basically what it boils down to is, there's a wedge that we have to capture, that's an addition to our contracts to hit that return and we believe that we can do it. But we're very clear that we do need to contract additional ones to make that happen.
Robert Kwan: And you expect, I guess, more contracting than you previously did?
Robert Kwan: Yes. That's right.
Robert Kwan: Okay. I guess, just to finish here. Recognizing you buy on other indices, is there an impact though from the increased butane price that we've seen particularly yet find a way, whether you think about your near term results, Q1? Or do you see that influencing the NGTL year negotiations?
Jamie Urquhart: Robert, it’s Jamie. Yeah. So our contract season, it's progressing well from a macro perspective as you allude to on the butane side. Yeah. The butane prices in the Gulf are very strong right now. You're not seeing that same level of strength in Western Canada, frankly. We're at a higher storage level than we would typically see in Western Canada. I caution that, we wouldn’t expect to be contracting at levels that we might've seen a couple of years ago during the 2019 contracting season. We saw that that market corrected itself very quickly. Barrels found their way out of Western Canada into the U.S. But, certainly, right now, we're pleased with respect to the results of our contracting season to date.
Robert Kwan: Got it. And then, just in terms of -- to finish here. The comment in the MD&A around softness in the iso-octane market first half of the year, is that just for demand for the product itself? Or is that on then -- that includes, if you can't inside of the equation?
Dean Setoguchi: Well -- yeah. I mean, it's more of the commodity, but I wouldn't -- there's not a softness in the demand for the product. There's just a -- there's a little bit of an overhang on octane in North America. That's causing a little bit of softness, that we're seeing get worked through the system, As we expect demand to pick up for gasoline. And you're seeing that in the RBOB cracks that's part of it. I think the fact that Biden got elected and he's revoking some relief from refineries around their obligations to meet renewable standards. That's also putting some upward pressure on RBOB cracks. But there's a -- an effective roll out of the vaccine. There's optimism in the market with respect to demand for gasolines. And we see even last year when there was between the first wave and the second wave, there's a pent-up demand for people to get out of their homes. And frankly, air -- we just see a pension for people traveling via their vehicles rather than the air. And our expectations in the summer driving season is we're going to see a strong driving season and that's really what's driving RBOB cracks products, but also our view on the demand fracking. That overhang in our opinion is already being corrected. But we expect to be more back into a normal environment by Q3.
Robert Kwan: Great. Thank you very much.
Operator: Next question line of Praneeth Satish with Wells Fargo.
Praneeth Satish: Hi. Thanks. Just one quick question for me. When you signed up for the solar PPA, was there any appetite to maybe build this in-house or enter into a JV? Did you look into the returns? Did they make sense?
Dean Setoguchi: Yeah. To be clear that the solar deal is a contract for difference. So, we basically procured electricity at a certain price and also are given -- are granted the environmental attributes. Frankly, that deal that was over a year in the making is much more attractive deal than it was when we signed it. Very pleased with that deal. We're -- our focus is always to find good partners if they're -- they've got expertise where we don't. Not to say that at some point in the future, we wouldn't -- based on partnerships that we've established, look to get into different lines of business if it made sense, not saying in this case that it wouldn't necessarily make sense. But it just made -- we've got a very reputable partner in this project. We feel very good about that partnership. But needless to say that this is not -- we're continuing to look at opportunities to get involved in renewable power.
Bradley Lock: I think the leverage off of Samsung's expertise, I think is important to me. And this is not our area of expertise. We're able to capture the economic benefits, including the environmental credits to that, that come with it. So, overall, we're very, very pleased with the arrangements that we have with them and the partnership we have.
Praneeth Satish: Got it. Thanks.
Operator: Next question line of Linda Ezergailis with TD Security.
Linda Ezergailis: Thank you. Just want to follow-up on the outlook for marketing, recognizing that you'll give more guidance in the first quarter report, recognizing that the contract -- some of the commentary you gave on the contract season and how it's looking. But can you give us a little bit more of an understanding as to what factors might bring that realize margin to the top of the range versus the bottom? And then, what might also prompt you going above that range potentially again in 2021?
Bradley Lock: Well, I'm not sure what more specifics frankly we can share with you is that, like, I mean, we touched on the fact sort of our iso-octane business and the fact that we've seen a significant run up in WTI over the last month in particular, that everybody's aware of. We continue to be disciplined on our risk management program. So, I think one of the things that we caution is that if it is -- or for people to think about is, is that it was highly effective as the market came off, but we've been very disciplined throughout the last six to nine months in layering in sales as the market's improved as well. So, just caution people from looking at a prompt month of $58 and thinking that that's where Q1 is to going to land us. But certainly, we -- our risk management program has some opportunity to take advantage of those higher prices towards the latter part of this year. And that's positive. RBOB cracks, as we mentioned, have strengthened significantly as well, based on the fundamentals that I mentioned and the premiums that we get for the iso-octane as a result the fundamentals of octanes continue to improve as well. So, just positive of view for iso-octane, test on butane, a little bit propane pricing, very strong that helps our G&P business and the economics of our producers, but also, supports our program on the propane side. And then, Dean alluded to condensate pricing, very strong as well. And driven off of a slight discount or on occasion a premium to WTI. So, right now, all commodities feeling good. We're -- our risk management program is going to be -- as it has in previous years, helping us to secure a positive outlook for 2021.
Linda Ezergailis: Thank you. [Technical Difficulty]
Dean Setoguchi: Sorry, go ahead.
Linda Ezergailis: How you're thinking about the capital allocation possibilities over the next year, recognizing that some of your energy transition opportunities are in the early stages. I'm wondering when you expect to kind of replenish your growth backlog beyond KAPS, you deferred your 19th cavern previously, what factors would need to be in place to resume that? When you might you see opportunities related to KAPS manifest themselves, which you touched on as well. And can you talk about the -- where you're seeing the opportunities, if that might potentially include your toe hold in the U.S. geographically?
Eileen Marikar: Maybe I'll start and then we can give it to Jamie after that, Linda. So as the capital allocation, certainly, with KAPS assuming we continue on with the construction in the second half of the year, that is what we would be committing to. And again, keeping in mind the balance and how we've committed to fund it. So that would be our focus. So -- and as we said before, we're committed to the dividend, et cetera. But looking at other projects and what we need to see, maybe I'll turn it to Jamie.
Jamie Urquhart: Yeah. So, yeah, we've never been shy about sharing our vision and the strategic nature of KAPS and the opportunities we see not only downstream, but also upstream. But on the downstream side, we do continue to -- the analogy I'd use is that KAPS is like the arteries that are pumping blood to the heart. I mean, we just see -- and we continue to talk to our customers with respect to what opportunities we can provide to them for their product that's flowing through KAPS that leverage off our existing infrastructure, our -- and whether that's expanding our infrastructure contracting in different fashions, that would be beneficial to our customer, but also beneficial to Keyera and our shareholders. I just can't get into details, but we certainly continue to be encouraged by the opportunities that we discussed with our customers. On the U.S. side, I think the U.S., we -- it made sense for us to initiate the U.S. strategy that we have, and we're happy with it. It was really to ensure that we continue to have egress for our products and certainly the projects that we've taken on with Wildhorse and Oklahoma Liquids Terminal, our Galena Park assets, those are all landing spots for commodities out of Western Canada. And we continue to see the benefit of that. But I would probably telegraph that, we -- that's mission accomplished at least for the time being. We telegraphed that our Investor Day just over a year ago now that we want to prove those assets out. So we're once, again, to reiterate, we're happy with the business thesis and what we're seeing from those assets. But it's not our intention likely to have a focus around capital spend in the U.S.
Dean Setoguchi: Let's just expand on, on Jamie's comments is that, our first priority is to maximize the profitability of what we have already. And so, some of that is including some of the new assets that are coming online. And so, to optimize station, things like that, and also capturing new growth in the base as it happens, because we do have extra capacity. We've talked a lot about sort of post KAPS is that we plan to direct most of our growth capital downstream through our downstream business, where we have stronger barriers to entry. And it's obviously a very profitable part of our business. So -- but the other thing is, to some of Eileen's points is that we want to also drive sort of more -- like a stronger contracted returned -- base contracted return just where our cost of capital is today. So, to the extent that we need more fracking storage in the future, we're going to make sure that we have a satisfactory level of long-term underpinning to make those investments. We've talked a lot about just sort of our Heartland lands and Jamie talked about it. Again, I think that this is the best developed land industrial Heartland, where it's situated by connectivity, the underground storage rights that we have their, proximity to the Alberta Carbon Trunk Line to do carbon capture and sequestration. And again, Jamie described the pipe that we have that's rated for hydrogen. So, I think in terms of some of the -- pursuing hydrogen solution possible there, there's also some other bio or petcam opportunities that we can also pursue there. And then we also talked about AEF and some of the potential there to expand -- sorry -- to enhance our profitability. So, those are just some of the highlights of things that we'll be looking for in the future.
Linda Ezergailis: Thank you. And maybe as an operational question, I'm wondering which quarters, the Brazeau River and Zeta Creek Gas plants have a turnaround this year.
Bradley Lock: Linda, this is Brad. They're both scheduled for Q2 this year.
Linda Ezergailis: Great. Thank you.
Operator: Next question line of Chris Tillett with Barclays.
Chris Tillett: Hi, guys. My questions have all been asked at this point. Thank you.
Dean Setoguchi: Thanks, Chris.
Operator: Next question line of Andrew Kuske with Credit Suisse.
Andrew Kuske: Thanks. Good morning. Maybe just focusing on the quarter you just reported. You could give us some color across your businesses on the beginning volumes and commodity impacts and how the businesses were performing versus the exit rate. And then just given some of the risk management comments on this call, are volumes more important to you in the first half of this year and then maybe commodity pricing in the back half of the year?
Dean Setoguchi: Yeah. I'll take a first stab at your question. When you look at 2020, very, very unique year. I mean, I think we all forget what we faced last year and when you get a demand shock of the magnitude that we saw over a short period of time, it's -- there's obviously a lot of uncertainty and a lot of different ways for the whole energy sector and obviously that also translates to our base in here in Canada. Overall, from the front end of our business, the G&P business, as I mentioned before, I mean, we had very, very little drilling, like the last three quarters of the year. So, obviously, some decline set in and we saw that in our volumes. And we had to provide some short-term relief for some of our customers in the North just to get through again a really uncertain time. But we also provided some fee relief to our Southern customers to be more competitive. And now -- I'll just stick with that business, now as we exit the year, as I mentioned, we're starting to see stabilization and some growth and that growth, I wouldn't say as robust at this point, but at least trajectory for the volumes has sort of flattened. And I believe that we're going to start to see a bit of growth as we go through the year. Customers are cautious, because they want to be careful with their balance sheets. But again, in this price environment, economics are very strong in both our north portfolio and our south GP portfolio. So, we're fairly pleased about that. And the other thing is, is obviously we're seeing consolidation amongst the producers. And I think that's translating the stronger counterparties, but they are also -- the needs that they are -- or what's valuable to them is, is more optionality. And I think with our integrated service offering, we're able to offer them that optionality, that they desire. If you look at our liquids business, it performed very, very well last year. And it's really tied to the strength of our long-term contracts with our oil sands services for drilling, handling, storage. Our fractionation business was very strong with very high utilization rates. Again, it's a core strength of our business with higher barriers to entry. So, certainly, we expect that business to continue to perform well in 2021. And then, finally our marketing business -- and we've talked a lot about the effectiveness of our risk management programs. So, the first quarter of last year, we had a tremendous quarter, the best quarter we've ever had for marketing. And obviously, throughout the rest of the year with falling commodity prices and a lack of demand, a lot of that related to RBOB or gasoline and our teams -- that translated to lower results as we went through the year. Jamie can -- Jamie's talked about a little bit about 2021 from a macro perspective, commodity prices are much stronger. Could there be some short term hiccups or blips to that? Yeah, of course. But I think with the higher commodity prices, generally, that's obviously a tailwind for our marketing business. Combined with that, what we see in terms of some -- our recontracting, which we're not complete yet, but we will update that in our May conference call. That looks promising as well. To offset that though we've already hedged some of our commodities, especially for the first half of this year, the low commodity prices are much stronger in the first half of this year. We won't get the full benefit because we've hedged a lot of it. But I think fundamentally if you look forward to the second half of this year and into 2022 and beyond absence another major shock, we think our business is pretty strong.
Andrew Kuske: That's very helpful. Thank you.
Operator: [Operator Instructions] Your next question line of Elias Foscolos with Industrial Alliance Security. Your line is open.
Elias Foscolos: Sorry. I was on mute. I apologize. Just a couple of follow-up questions and maybe they're directed towards Brad. Could you just give us a bit of an update on Wapiti Phase 2? I know it's complete, but do you see that sort of -- any updates you can on that in terms of the volume ramp up?
Bradley Lock: Sure. Thanks for the question. We commissioned Wapiti Phase 2 in the back half of 2020. So that facility has been up and tested out and is fully functional. At this point, there's not an immediate demand for the volumes. So, we are -- we don't require both trains to run. What it does do is provide us a real enhanced opportunity for reliability in that facility, with the redundancy it provides. And certainly, as we go through 2021, we see opportunities to secure incremental volumes that will require that plant to occur. So, it's not required today, but it's certainly a strategic part of our plan through 2021 and onward.
Elias Foscolos: Okay. Thanks for that reminder. And the next one, Brad, I'm trying to get a handle on run rate maintenance costs and partially for distributable cash flow, I'd say primarily for distributable cash flow. And in 2019, I think we had $105 million and then in 2020, 29, 2021 guidance midpoint is 30. Is there any way we can think about that in terms of a long-term run rate number, but we incorporate some AEF in there. And I think 2018, was it -- within the 50 range comments?
Bradley Lock: Yeah. It's a great question. I think, certainly, through 2020 we made a diligent effort to preserve capital and certainly deferred a number of turnarounds within our -- Zeta Creek was a classic example that was scheduled for deferral. West Pembina was another one that we -- in our optimization plan. We elected to shutdown as opposed to do the turnaround. So, we hadn't really no turnarounds in 2020, driven off the -- partially because of the pandemic and trying to reduce exposure to the workers, but certainly also capital preservation. Going into this year, we have a relatively modest turnaround year with only the Brazeau River and Zeta Creek turnarounds. So, consequently, a small number. As we go into 2022, we are going to see those numbers start to creep up. AEF outage is planned for 2022. And certainly as we go out in time, some of the larger facilities, we'll start to see turnarounds as you go into the Strachan and Rimbey, et cetera. So, I think we're at a bit of a valley right here relative, but it's going to be very difficult to predict a run rate basis, because of the lumpiness of the large turnarounds and how they kind of enter into our maintenance capital schedule.
Elias Foscolos: Yeah. Okay.
Dean Setoguchi: Clearly, our run rate would be lower than what it was your point before just given the number of optimized …
Bradley Lock: Correct.
Dean Setoguchi: Stations that we have right now.
Elias Foscolos: Yeah. That aligns with my thinking. Maybe one last question and it's not tremendously large, in the scheme of things. One of the salt cavern storage facilities was deferred, and I still think is deferred. Is there any plans to bring that back?
Dean Setoguchi: Yeah. Again, it just boils back to capital allocation and again, just us being able to contract that and underpin the investment for that next cavern. So, I would say that our storage services are instilled very high demand. We are the largest -- we have the largest storage, underground storage positioned in Alberta. And maybe a good analogy is, if you look at last year when a million barrels of crude oil went offline as the oil sands -- the oil sands producers are still have contracts to buy condensate, but also there's a commercial angle there. So, not only operationally do they have to store that condensate somewhere, because it doesn't need to go up to the oil sands, but commercially, they really appreciated being able to buy all that cheap condensate at less than 10 bucks and stored in our caverns. And obviously, it's a big input cost for them so. Even though that they may not be flowing or delivering a lot of crude oil, I mean, it just explains the value of the storage caverns that we have and why they contract for them. So, again, it's a very valuable service. We will be disciplined about any capital investments, including our storage, but, again, when we have the demand where we can contract it, we'll start the next cavern.
Elias Foscolos: Great. Thank you very much for that color and I'll turn it back.
Operator: There are no other questions at this time.
Eileen Marikar: Thank you very much everyone. Enjoy the rest of your day. Goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.